Operator: Thank you for standing by for Fanhua's Fourth Quarter and Fiscal Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. All lines have been placed on mute to prevent background noise. After the management's prepared remarks there will be a question-and-answer session [Operator Instructions]. For your information, this conference call is now being broadcast live over the Internet. Webcast replay will be available within 3 hours after the conference is finished. Please visit Fanhua's IR website at ir.fanhuaholdings.com under the Events & Webcasts section. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Ms. Oasis Qiu, Fanhua's Investor Relations Manager.
Oasis Qiu: Good morning. Welcome to our fourth quarter and full year 2020 earnings conference call. The earnings results were released earlier today and are available on our IR website as well as on Newswire. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. The accuracy of the statements may be impacted by a number of business risks and uncertainties that could cause our actual results to differ materially from those projected or anticipated. Such risks and uncertainties include, but not limited to, those outlined in our filings with the SEC, including our registration statement on Form 20-F. We do not undertake any obligation to update this forward-looking information, except as required under applicable law. Joining us today are our Chief Executive Officer, Mr. Chunlin Wang; Chief Financial Officer, Mr. Peng Ge. Mr. Wang will provide a review of our financial and operating highlights in fourth quarter and fiscal year 2020. There will be a Q&A session after the prepared remarks. Now, I will turn the call over to Mr. Wang.
Chunlin Wang: Thank you for joining us on today's conference call. Here with me, we have our Chief Financial Officer, Mr. Peng Ge, and our Board Secretary, Lily Lee. On today's call, I will share with you our new strategy initiatives and some key progress, followed by our financial forecast for 2021. Mr. Ge and I will take your questions after the report. Part one, in 2021 while the China's life insurance industry was hit hard by the COVID-19 pandemic, Fanhua will still protect and maintain healthy development. In 2020, despite the continued challenges from COVID-19, Fanhua accomplished another major milestone with our gross written premiums on regular life insurance business exceeding RMB10 billion, representing a year-over-year growth of 16.3% and our operating profit reaching RMB300 million. In the fourth quarter of 2020, the gross written premiums of our regular life insurance business increased 21% year-over-year to RMB2.9 billion, operating profit reached RMB71.9 million, exceeding our previous expectations. Now to our strategy assessment. First, although the growth of China's life insurance market slowed down in '20 due to the impact from COVID-19 pandemic, we still believe that China's life insurance industry will maintain a long-term rapid growth trends unchanged. And that the development of insurance intermediaries will be faster than that of the insurance industry as a whole. Second, currently, there are various business models in China's insurance intermediary market including, agent-oriented model, business-oriented model and direct to consumer model. With evolving technologies and changing market environment this business models on a standalone basis may face difficulty to maintain enduring vitality over the long-term. Only those which can facilitate best customer services, extend customers' lifecycle and enable repeated transactions can thrive and prosper in the future. Part three, 2021 marked the first full year for implementing the strategy of professionalization, digitalization, and open platform, which we believe will help build new growth engines for Fanhua for 2022 and beyond. Our strategy of professionalization, digitalization and open platform is built upon our existing business model, looking to enhancing the productivity and income of our sales agents, and solidifying our existing strengths in offline sales and service capabilities, while in the meantime, strengthening our capabilities onto B and to C front to build Funhua into an open digital platform, with greater compatibility and more growth potential. We believe that this new strategy will enable us to build a sustainable business model with enduring vitality. In 2020, as part of our plan to professionalize our sales force, we have established an interim business division to approve the establishment of three city level branches. For digitalization, we've established a digital business division, and our digital marketing center has been in operation since the end of January 2021. As for open platforms, we've established a cloud service division, which has so far some partnership with six cooperative partners and started operating on a trial basis. We expect that the new strategy will start to yield more meaningful positive results in 2022 to drive rapid growth of our business in 2022 and the years ahead. Firstly, financial forecast for 2021. Looking ahead to 2021, we expect gross return premium of our regular life insurance business to be no less than RMB12 billion. The initial investments for carrying our premium strategy in 2021 is expected to be around RMB100 million. Therefore, our operating income is expected to be no less than RMB300 million in 2021. For the first quarter of 2021, we expect our regular life insurance GWP to be no less than RMB3 billion, and operating income no less than RMB120 million. We believe that the new strategy will contribute greater value to the company, and generate higher returns to our shareholders over the long run. Firstly, dividend plan. The company is committed to maintaining a regular cash dividend policy. Based on our earnings expectation and the amount of expenditure required for enhancing our professional and digital capabilities in 2021, and our dividend for 2021 will be no less than US$0.60 per ADS payable in fourth quarter installments was US$0.15 per ADS for each quarters. Thank you. This concludes my presentation. Now the floor is open for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Chi Chung [ph] from CICC. Please ask your question.
Unidentified Analyst: Two questions from Chi Chung, CICC. The first question is with regard our guidance on the GWP of our regular life insurance business in the first quarter, which sounds quite strong growth. She's wondering whether this strong performance is due to the transition of the critical illness definition framework. And then after the new critical illness framework transition in February the 1st, how is the sales of the new critical illness products so far?
Chunlin Wang: Firstly, in the first quarter, after the new critical illness Fanhua take effects, the jumpstart sales compounds in the first quarter. And the industry has actually been performing pretty well. Largely thanks to the transition of the critical illness Fanhua transition. And for us, for Fanhua, we believe that we have been outperforming the industry. It has been an industrial norm that each time after a major regulation or a policy issue, which resulted a change to insurance products. It will have of cause a huge impact on the industry. We do expect that after the transition of the critical illness framework, it will probably take the industry some time to fully recover. We've been proceeding with the transition of the products schedule, and we've been making preparations for our next marketing campaigns, which is in April and June and May. For the next marketing campaign, our major products will focus on annuity and whole life products, while we will also make efforts to educate our customers on the new critical illness products. Thank you.
Unidentified Analyst: Thank you.
Operator: [Operator Instructions] There's no more question at this time. Our speakers you may continue.
Chunlin Wang: Thank you for joining us on today's conference call. If you have any further questions, please feel free to contact us. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.